Operator: Hello, and welcome to today's Third Quarter 2025 Results Conference Call and Webcast. My name is Leslie, and I will be your event specialist today. [Operator Instructions] To follow the conference online, please visit https://consorcio.transmision.com.mx. The transmision is with one S only. [Operator Instructions] It is now my pleasure to turn today's program over to Alicia Enriquez, Administrative and Financial Director. Please go ahead.
Alicia Enriquez Pimentel: Thank you, Leslie. Good morning, and a warm welcome to our conference call on the third quarter 2025 results of Consorcio ARA. This call will be also transmitted via webcast, accompanied by a slideshow for visual support. With me on the call to discuss the results are Luis Felipe Ahumada Russek, Vice Chairman of the Board; Miguel Lozano, Chief Executive Officer; and Felipe Loera, Chief Financial Officer. I want to alert everyone that certain statements and comments made during the course of this call must be considered forward-looking statements as defined by the Securities Litigation Reform Act of 1995. Consorcio ARA believes that such statements are based on reasonable assumptions, but there are no assurances that current outcomes will not be substantially different from those discussed today. All forward-looking statements are based on information available to the company on the date of this call. The company is under no obligation to publicly update or revise any forward-looking statements as a result of new information that may become available in the future. As usual, at the end of our prepared remarks, there will be time for Q&A. We'll wait until then to open the queue for questions. Results for the third quarter of 2025 compared to the third quarter of 2024. The operating and financial results for the third quarter of 2025 reflected our sustained positive performance in the year-to-date, with improvements in key business indicators. Total revenue amounted to MXN 2 billion, an increase of 8.1% over the third quarter of last year. EBITDA was MXN 298 million, a growth of 9.2%. While net income stood at MXN 199.8 million, up 15%. The working capital cycle improved by 53 days, driving positive free cash flow generation for the film of MXN 183.3 million or MXN 129.9 million after interest payment. Housing revenues totaled MXN 1.86 billion, a 4.1% increase, corresponding to the sale of 1,377 homes. So the average price was MXN 1,348,300, 11.5% higher than in the third quarter of 2024, mainly due to the increased weight of Residential segment in the revenue mix. In the third quarter of 2025, higher sales in the Middle-Income and Residential segments drove a 4.1% growth in our Housing revenues. Middle-Income revenues totaled MXN 837.6 million, up 8.7%. And Residential revenues amounted to MXN 581.7 million, a solid 28.8% growth. At the same time, revenues from sales of Affordable Entry-Level homes came to MXN 437.3 million, down 22.2%, mainly because we completed a development in the city of Tijuana. I should note that next year, we will already be entering revenues from a new development in that city. Looking at the revenues from homes delivered under the Build with Infonavit Loan or Line Three program between July and September, the total came to MXN 42.3 million. The vast majority of these homes were in Affordable Entry-Level segment. Revenues from Other Real Estate Projects, mainly from the sale of land and shopping center leases, totaled MXN 148.5 million, 109.1% higher than in the third quarter of 2024, mainly due to higher revenues from land sales. In the breakdown of revenues for the third quarter of 2025, Affordable Entry-Level homes accounted for 21.8%, Middle-Income homes, 41.8%; Residential, 29%; and Other Real Estate Projects, 7.4%. Our operating margin in the third quarter of 2025 was 9.8%, 60 basis points lower than the same period of last year due to higher overhead costs. But the net margin rose 60 basis points to 10%, and our EBITDA margin grew 20 basis points to 49.8%. Results for January-September 2025 compared to the same period of last year. In the first 9 months of the year, total revenues, meaning Housing revenues plus revenues from Other Real Estate Projects, came to MXN 5.93 billion, an 11.1% growth compared to the same period of 2024. Housing revenues totaled MXN 5.63 billion, 10.1% higher than in the first 9 months of last year, corresponding to the sale of 4,432 homes with an average price of MXN 1,270,700, a year-to-year increase of 7.6%. Revenues from the Middle-Income and Residential segments performed very well between January and September 2025, rising at double-digit rate in year-over-year terms. Middle-Income segment revenues amounted to MXN 2.58 billion, a growth of 18.5%; while Residential revenues were MXN 1.36 billion, an increase of 17%. Affordable Entry-Level home sales were down by 4.8% to MXN 1.69 billion, mainly because of the completion of a development in the city of Tijuana and the second stage of a development in Mexico state. As I said earlier, next year, we will already be reporting revenues from a new development in the city of Tijuana. And for this year's fourth quarter, we will also be booking revenues from the third stage of the development in Mexico state. Revenues from Other Real Estate Projects, mainly from the sale of land and shopping center leases, totaled MXN 295.5 million, a growth of 35.3%, mainly due to higher revenues from the sale of land and shopping center leses. As for the mix of revenues in the first 9 months of the year, the Affordable Entry-Level segment accounted for 28.5%, the Middle-Income segment 43.6%, the Residential segment 22.9% and Other Real Estate Projects, the remaining 5%. In the first 9 months of this year, operating income totaled MXN 576 million, 2.1% higher than in the same period of last year. And net income was MXN 551.3 million, a 9.5% growth. EBITDA meanwhile came to MXN 840.1 million, a 5.4% increase. Between January and September 2025, the operating margin was 9.7%, the net margin was 9.3% and the EBITDA margin was 14.2%. Free cash flow generation to the firm in the first 9 months of the year was positive by MXN 342.3 million. Financial position as of September 30, 2025. At the close of the third quarter of 2025, the balance of cash and cash equivalents totaled MXN 2.03 billion, 12.9% lower than at the close of the last year as we used some of our cash to pay down debt. As of September 30, 2025, accounts receivable totaled MXN 452.6 million, an 18.7% decrease against the close of last year. Accounts receivable turnover was 21 days. Total inventories as of September 30, 2025, amounted to MXN 19.21 billion, 6.1% higher than at the close of the previous year. At the end of the third quarter of 2025, cost-bearing debt came to MXN 2.45 billion and declined by 8.3% from the balance reported as of December 31, 2024, attributable primarily to the payment of straight unsecured loans. Short-term maturities, meaning debt coming due in the next 15 months, made up 59.7% of cost-bearing debt, most of which is tied to the ARA 23X notes, which come due at the end of November 2026. And long-term debt was 40.3%. As of September 30, 2025, 69% of our cost-bearing debt was in the form of the ARA 21X and ARA 21-2X notes. [ 13.3% ] were simple secured loans for our shopping centers, 9.1% were simple unsecured bank loans without real estate collateral, and the remaining 8.6% were lease liabilities. Regarding our leverage ratios, cost-bearing debt to EBITDA was 2.26x and net debt to EBITDA was 0.39x, levels that we consider very healthy. And if we pay this ratio on coverage of net interest, meaning interest expense less interest income, it could be 10x. As we reported in our material events announcement of September 26, HR Ratings modifies our long-term credit rating from HR AA+ to HR AA, maintaining a stable outlook; and the ARA 23X issue from HR AA+ to HR AA, also maintaining a stable outlook. In making the change, the agency cited lower free cash flow generation than expected in its projections as well as positive net debt. For the ARA 21-2X issue, the agency confirmed its HR [ AA ] rating with a stable outlook. This report can be viewed on our -- in our corporate website, consorcioara.com.mx. Housing industry performance. According to Mexico's National Institute for Statistics and Geography, or INEGI, as of August 2025 in annual terms, overall industry activity weakened by 2.7% compared to the same period of last year. The construction industry as a whole slowed 3.2%, although the building subsector, which includes housing and industrial base, grew 3.3%. According to data from the Unified Housing Registry Group, in the first 9 months of the year, 172,778 homes were registered, a 27.1% increase over the same period of last year; and 95,997 homes were produced, 4.2% higher than in the first 9 months of 2024. Regarding mortgage lending between January and July 2025, based on data from the Ministry of Agrarian, Territorial and Urban Development, or SEDATU, Infonavit granted 102,037 loans for the purchase of new homes, a 9.6% increase compared to the same period of last year. These loans represented an investment of MXN 78.1 billion, 21.2% higher. The average size of home loans in the first 7 months of the year was MXN 765,000, a 10.6% increase compared to the same period of 2024. [indiscernible] granted 7,583 loans for the purchase of new homes in the first 7 months of the year, down 19.6% from the same period of 2024. And the investment in this totaled MXN 7.81 billion, 6.8% lower. The average size of a loan granted between January and July of this year was MXN 1,003,000, a 15% advance over the same period of the year before. As for commercial bank home financing, in the first 7 months of 2025, 52,601 mortgages were granted for the acquisition of new and used homes, 6.8% fewer than in the same period of last year. And the investment in this totaled MXN 127.7 [ million ], 2.4% lower. The average size of our commercial mortgage granted in January, July 2025 was MXN 2.43 [ million ], a 4.6% growth over the same period of last year. In the first 9 months of the year, 63.5% of our revenues came from homes financed by [ Infonavit ], 10.9% from Fovissste and the remaining 25.6% from commercial banks and home purchase without financing. Shopping Centers. Our Shopping Center division also continued to report stronger results. In the third quarter of 2025, Shopping Center revenues totaled MXN 136.4 million, a 10.7% growth over the same period of last year, while net operating income was MXN 96.5 million, 9.5% higher. Revenues in the first 9 months of 2025 totaled MXN 393.7 million, a 9.6% increase over the same period of last year; while net operating income was MXN 275.5 million, a 6.8% growth. These results correspond to shopping centers that are 100% owned by ARA and are consolidated into our financial statements, Centro San Miguel, Plaza Centella, Centro San Buenaventura and Plaza Carey, the uni and mini centers; as well as 50% of Centro las Américas and Paseo Ventura, according to our stake in those properties, which are entered under the equity method. Total gross leasable area in our 6 shopping centers and in uni and mini shopping centers is 212,000 square meters. The occupancy rate as of September 30, 2025, was 94.7%, a very competitive level. Sustainability. We are pleased to share that for the second time, we have been recognized by the International Finance Corporation, IFC, a member of the World Bank as an EDGE Champion 2025-2026, which distinguishes us as a visionary company committed to the global transition to sustainable construction. As we mentioned in our previous conference call, we are in the process of obtaining EDGE certification for nearly 3,700 homes in addition to the 5,864 homes that have already received this certification. You may recall that EDGE certification requires a home to be designed in such a way that it saves a minimum of 20% on energy, 20% on water and 20% on energy and [indiscernible] in materials compared to the local basis. Conclusion. As we head into the final stretch of the year, we expect to maintain this positive momentum with rising revenues and positive free cash flow to the period, which will allow us to close out another year of strong results. The fundamentals of our industry remain solid, continued demand for housing and a steady flow of mortgage lending. ARA has the experience and the capacity to continue offering homes to Mexican families. Thank you, and we will now move on the questions and answers.
Operator: [Operator Instructions] The first question from the audio lines is from Mr. Enrique Canto from [ GBM ].
Enrique Canto: I understand that the decline in the social interest segment was mainly due to the [ completion ] of a project in Tijuana. How do you envision the product mix going forward? Do you plan to reengage in this segment? Or will you continue prioritizing the Middle-Income and the Residential developments?
Alicia Enriquez Pimentel: Enrique, yes, we expect to grow in this segment. It's very important for us, and it has been very important in the past. It gives you a scale. So yes, we think -- we expect to grow in this segment in the following year. In fact, as I mentioned, we are going to open another project for this segment in the city of Tijuana. And for the following year, it would be around 30% of our revenues coming from the Affordable Entry-Level segment.
Operator: Our next question is from Mr. Jorge Vargas from GBM.
Jorge Vargas Cuadra: Just a quick one from my side. Do you have any updates or potential projects in mind regarding the diversification initiatives from the land bank that was separated from the Housing developments?
Alicia Enriquez Pimentel: Jorge, could you repeat it, please? Because I think I didn't get your question.
Jorge Vargas Cuadra: Sure. My question was if -- do you have any updates or potential projects in mind regarding the diversification initiatives from the land bank that was separated from the Housing developments?
Alicia Enriquez Pimentel: Okay. Thank you, Jorge. You mean land that we have for other purposes and tourism, industrial, et cetera?
Jorge Vargas Cuadra: Yes.
Alicia Enriquez Pimentel: We are working on that. We have a team working and a specific team working on that, analyzing what is better, if it's better to develop, if it's better to sell the land. We are working very hard. At this moment, we haven't finished. And obviously, we are going to decide what adds more value to the company. So we are working very hard on that. For this year, I don't see a sale. But in the following year, that's for sure that we will have some news about.
Operator: Our next question is from Mr. Andres Aguirre from GBM.
Andres Aguirre: Congrats on the results. We saw a strong free cash flow generation during the quarter. Could we expect similar levels for upcoming quarters?
Alicia Enriquez Pimentel: Yes, definitely, Andres, we expect to have also positive free cash flow generation for this quarter. So we expect to have around MXN 500 million for this year. So yes, it's a trend that we are going to continue.
Operator: We have finished with the conference call questions and we'll now continue with the webcast questions. [Operator Instructions]
Alicia Enriquez Pimentel: Well, we have a question from [ Felipe ] from Apalachee Research. In the results, we observed a significant increase in the average selling price and a shift in the product mix towards the Middle-Income and Residential segments. Could you comment on whether this structural change in the product mix is expected to continue into 2026 and how it is affecting inventory turnover and margins by segment? We also noticed a reduction in operating margins due to higher selling and promotional expenses. Do you expect these expenses to normalize in fourth quarter 2025? Or are they part of a more aggressive brand positioning strategy? Okay. Well, [ Felipe ], regarding your first question, no, there is not a significant change in our revenue mix. For example, in the following years, according to our projections, we expect to have 30% of our revenues coming from the Affordable Entry-Level segment, 35%, 36% of Middle-Income and 30% from Residential segment. Diversification for us, as you know, is very important. So we are going to continue this performance. And also, it's important to have consideration that if you see our performance by quarters, it could change because, for example, a development can be completed, so it affects the comparisons. But that doesn't mean that it's going to be the trend for the following years. So this is the kind of the mix that I already mentioned that we expect to have for the following year. And regarding the question about the expenses, well, yes, for this quarter, we expected to have growth in our revenues. So the impact of expenses could be a little less than in the previous quarters. And also, as I mentioned in the previous conference call, payroll expenses also increased, first because we have been holding back inflation-based salary adjustment, and we applied those increases this year. And very important, additionally, we have been strengthening our leadership team in both the commercial and product areas. This is very important for us because we know that in terms of accounting, is an expense. But as we see this is an investment to support the growth strategy that we have set for the coming year. So this is what I can tell you about expenses. And obviously, in the following year, we expect to have a growth in revenue. So the impact will be less than this year. There's another question from Benjamin from Signum Research. Congratulations for your results. May I have a question is what is the current maturity for the debt? And what would be an estimated amount of payment for 2026? Okay. Well, regarding our debt, as you could see in our report, a significant part of it is our bond 23X that it expires at the end of November of the following year. Here, we have two options. One is to refinance this bond with another bond, which would be our fifth issuance. We have a good track record with our bondholders. The other option would be a syndicated loan. We also have credit lines with our banks. So this is something that we are constantly monitoring. For the remainder of the year, for this quarter, we don't see the need to prepay the current issuances and go to the market, but it's something that constantly we are monitoring. And that's the biggest payment that we have to do. The 23X is MXN 1.2 billion and is a significant debt. Considering other credits, the pace -- the debt [ paces ] are MXN 1.3 billion, MXN 1.4 billion. The main one, the significant one is the ARA 23X bond that as I mentioned, we have two options. At this moment, we feel secure. And there's another question from -- I already -- okay. Well, talking about new projects, well, for the following year, we plan to maintain our operations in the 15 states we already have operations. And something very important is that also we are analyzing joint ventures, I mean, to enter to a new state, mainly in the north part of the Mexico that we know the demand -- the housing demand is very important. But it would be through joint ventures, what is the scheme that we would prefer. There's another question from [ Pedro ] Antonio. Okay. Well, talking about the program, the government program, how -- well, it's important to mention that they are going to serve another market lower than our Affordable Entry-Level segment. As you know, our Affordable Entry-Level segment price is more than MXN [ 800,000 ]. The government is offering a house which price is MXN 650,000. So it's a lower segment for people that earn minimum wages. So it's another market. I could tell you, Pedro, that the effect would be positive if we can do something with the government. As we have mentioned in previous conference call, we have put some projects on the table, and we are expecting that some are approved. And obviously, as soon as we do, we will let you know. But I think that it's very positive. The housing deficit in Mexico, as you know, is very large. So it's important that government and private companies attend this mix in Mexico. I think there are no more questions, Leslie. Thank you very much for your interest in ARA. We can finish the call, Leslie, please.
Operator: Consorcio ARA would like to thank you for participating in today's conference call and webcast. You may now disconnect.